Yvette Rudich: Thank you, Sarah. Hello, and welcome to the IFF third quarter 2008 conference call. With me are Rob Amen, Chairman and Chief Executive Officer, and Rich O’Leary, Interim Chief Financial Officer. Our earnings release in 10-Q were filed this morning and are available on our website, iff.com, under the Investor Relations section. As you know, during this call, we may make forward-looking statements about the company's performance. These statements are based on how we see things today, so they contain elements of uncertainty. For additional information concerning factors that could cause actual results to differ materially from the forward-looking statements, I ask that you refer to the cautionary statement and risk factors contained in today’s earnings release and in IFF filings with the SEC, available on our website. Some of today's prepared remarks will exclude those items that effect comparability. These excluded items are captured in our GAAP to non-GAAP reconciliations available on our website. Here is what we are going to cover on today's call. Rob will open with an overview of our third quarter highlights performance, and follow that with some business unit performance update. Then Rich will provide a review of our Q3 financial results. Following closing comments from Rob, we will then take your questions. Now, let turn the call over to Rob, our Chairman and CEO.
Rob Amen: Thanks Yvette. Good morning and welcome to those listening in. Let me get directly to our third quarter results. Despite the numerous economic challenges of the past several months IFF posted a good quarter. Reported sales grew 6%, measured in local currency sales were up 2%. Operating margins were 16.3%. Input costs rose slightly more than the 5% we have seen recently. Our overhead costs were flat year-to-year on a report basis and this quarter also benefited from an unusually low incentive compensation expense, which Rich O'Leary will discuss more fully later. Adjusted earnings per share were $0.75 a share versus $0.71 last year. I believe this is not exactly comparable. Analytically there should be some level of incentive compensation. My analytically adjusted EPS number would be $0.70 versus the $0.71 reported last year; but let me turn to the business overviews. IFF again benefited from a strong sales performance in the Flavor business, up 5% in local currency. These results were driven by very strong growth in the key emerging markets. The European region, which has been a concern recorded growth of 3% in the local currency. In North America, sales were flat year-over-year. The sales growth was helped both by pricing and volume gains, especially in the beverage and confectionary sectors. The Fragrance business performance in Q3 was inline with our expectations and showed progress from earlier this year. Fine and Beauty has been struggling since the end of 2007. I am pleased with the progress reported for this category. Yes, local currency sales were down 1% in the third quarter, but that is against a very strong year-ago quarter, when sales in local currency grew 8%. The inventory adjustment related to Christmas 2007 is over. We saw good sales growth in this category in July and August and in the early part of September. After mid-September sales did weaken, over concerns for unfortunately, now Christmas 2008. We had a good improvement in wins over the past year. That said Fine Fragrance faces a challenge due to the current economic and retailing conditions. Functional Fragrances were flat year-over-year. I was pleased to see the improvement in North America. Asia continues to grow, while sales slipped in Latin America and Europe. The Ingredients business strategy is to prune and grow its product portfolio, despite the selected pruning; sales were flat year-over-year. The Fragrance business recovery is progressing and yes, we have further to grow. Those are the quarter headlines, now Rich is going take you into more detail. Richard.
Rich O'Leary: Thanks Rob, and good morning to all of you. This is the first time I am presenting the results. You will see that we made some changes to the format and content somewhat from prior quarters. As always they may be some slight differences in the tables due to rounding. Let's start by taking a look at consolidated sales. We had good results but we are not satisfied. Sales increased 6% on a reported basis, driven by continued gains in flavors, price, and positive currency. Local currency sales increased by 2%, this represents the 12th consecutive quarter of local currency sales growth. On the next slide, we can see the drivers that impacted year-over-year sales. Pricing added 2% across both businesses. This was better than previous quarters, but overall we still lag in input costs. We had a modest increase in sales volume, and currency added another 4%. Conversely, mix was weaker, mainly due to lower Fine and Beauty activity. In terms of profitability on slide 11, gross margin was down a 119 basis points, reflecting weaker sales mix, high input cost, and partially offset by price realization and currency. Operating margin improved 80 basis points to 16.3%. As we look at performance, we eliminate the effects of certain items. In the second quarter 2007, we had a charge of $5.9 million for the curtailment of our U.S. pension plan. For the 2008 quarter, we had $2 million of cost to implement our global shared service center; and lastly, third quarter 2008 had much lower incentive comp expense compared to 2007. Let me walk you through this last item. Incentive comp has accrued over the course of a year. However, in assessing our results versus target through the 9 months, we determined that very little incremental expense was required during the third quarter 2008. On the other hand, had the year-to-date expense been recorded equally over the three quarters, an additional $5.7 million of expense would be reflected in the third quarter. Reallocating this $5.7 million and excluding the $2 million in implementation cost, the adjusted operating margins for the third quarter, 2008, was 15.7%. This compares to 16.5% for the third quarter 2007, excluding the pension curtailment. This 80 basis point GAAP represents a significant improvement, compared to last quarter's GAAP of 140 basis points. Now let's take a look at the individual business performance in a bit more detail. From a sales perspective we are quite pleased with the 5% local currency sales growth for Flavors business. We continue to see significant gains in our beverage business and solid growth in confectionary. These were slightly offset by lower activity in the dairy category. How does this translate to the bottom line, while we had an 8% increase in operating profit and this reflects volume growth, solid sales mix, lower overhead expenses, and partially offset by higher input costs. At the same time, we continued to make select investments to support future growth. We do expect to achieve further price realization in the coming quarters, and several cost mitigation programs should begin to benefit the fourth quarter. Turning to our Fragrance business on slide 14; there were mixed results for the quarter. Overall sales were flat in local currency. Greater Asia had solid growth of 6% in local currency, considering flat sales in China due to the Olympics. The rest of Greater Asia had local currency growth of 8%. Latin America had gains in Fine Fragrance and new business for Ingredients, offset by lower Functional Fragrance activity. In North America, Fine and Beauty was down 14%, but this is a far cry from the 30% decline in the first quarter of 2008. At the same time we are encouraged by 7% growth in Functional Fragrances. Fragrance operating profit declined 2% for the quarter. Lower Fine and Beauty volumes and higher input cost represent a challenge. We have achieved some price realization, but we have got ways to go across most of the Fragrance business. We will continue to focus on price realization and mix improvement. We will make choices regarding this discretionary spending without jeopardizing those areas of the business that are growing. Input costs are a major topic of discussion in today's environment. Let me update you on where we stand. For the quarter input costs were up 5.4%, higher than the second quarter increase. Input costs are more than just raw materials, which account for approximately 70% of the total. In addition to raw materials, personnel costs is the next biggest category, followed by items such as energy, shipping, packaging and facility-related costs. We can not sit around and hope that the input costs abate. To mitigate increases we are using a variety of tactics. First, we work with our customers to achieve a reasonable cost recovery through pricing. Also working with them we identify product reformulations or material substitutions that benefit both parties. Internally we regularly assess make versus buy options and we leverage gains in overall manufacturing efficiency and yields. As I mentioned earlier, we have made progress in cost recovery during the quarter, there is still a gap for the quarter and the nine month period. Now, I would shed some more light on raw materials. On slide 17, you see the top five purchase categories. They represent approximately 7% of our total raw material spends and not surprisingly building blocks like aroma chemicals and naturals are our largest categories… What are the influences on price? It ranges from profitability for most naturals toward the alternative use value for turpentine. The petrochemicals, we use, we buy are not direct commodities; instead they are byproducts of the cracking process. Overall correlations are not strong enough for us to have many opportunities to hedge our raw material purchases. We maintain strategic stocks to ensure the availability of critical materials like naturals as well as to take advantage of pricing opportunities. We have a lot of money invested in inventory. There were some specific issues that required us to build inventories during the first half of 2008. These biggest positions have begun to unwind and we have seen a corresponding drop in day's inventory on hand. We expect to realize additional improvements in quantities on hand during future quarters. On slide 18 we see a condensed income statement. The complete statement can be found in our filings. All the amounts are shown on a reported basis. Gross profit increased 1% year-over-year, versus a 6% increase in sales. The unfavorable leverage reflects weaker shift of mix, higher input costs that could be only be partially offset by price recovery and currency. Overhead expense, which includes R&D and selling and admin was flat year over year. Interest expense was up $9 million. $6 million of the increase relates to the 2007 placement and another $4 million is due to wider LIBOR interest rate spreads on two cross currency swaps. It is worth noting that earlier this month we closed out one of the cross currency swaps as well as one of the fixed to floating rate swap, both at zero cost to the company. Bottom line net income decreased 2% to $58 million but combined with the 10% decline in average shares outstanding reported EPS was 9% higher. Excluding implementation loss in 2008 and a curtailment charge during 2007, adjusted EPS increased 6% to $0.75 per share versus $0.71 per share last year. In a challenging environment we have good financial results. Reported EBITDA increased 7% on a 2% local currency growth. Currency is another area of focus for most companies. In our case for the third quarter 2008, we estimate the currency favorably impacted earnings per share by $0.3 compared to 2007. There is a lot of noise in that number but all things being equal I estimate that 1% change in the U.S. dollar exchange rate has a $0.1 per year impact on EPS. Before going into the details on EPS year-over-year, let me take a moment to walk you through how we look at the third quarter results. This is our view, this is not GAAP based. The adjustments we discussed earlier such as implementation cost and curtailment loss of 2007, pretty straightforward. Incentive comps a bit more complicated. It can not be viewed in isolation; instead it moves in line with the overall results of the company. At June 30th, 2008, we had accrued $18 million. Based on Q3 results and our estimates for the year another $400,000 was recorded during the third quarter of 2008. From the accounting standpoint it is not appropriate to restate prior quarter's accruals to reflect the latest assessment and current performance. However, we think it’s more reasonable to reflect an equal amount of expense in each quarter. Doing so, adds $5.7 million of expense to the third quarter of 2008. The S&A operating profit and EPS shown on slide 20 reflect this reallocation of one third of the year-to-date incentive comp expenses. As well as the exclusion of other items such as implementation cost and the curtailment charge that I mentioned earlier. On a management basis, S&A is down year-over-year, and GAAP in operating profit margins for the third quarter is 80 basis points. The reallocation of incentive comp reduces the Q3 adjusted EPS by $0.5, to $0.70, while improving the first two quarters of 2008. Turning to slide 21 summarizes the individual components impacting earnings per share. Reported EPS was $0.73 per share versus $0.67 last year, whereas adjusted EPS was $0.75 compared to $0.71 in 2007. Let me point out a few items. You see the EPS impact related to currency, input costs and interest expense that I have discussed already. Net commercial includes volume, price, and mix. In this analysis, lower incentive compensation expense reflects the full year-over-year differential of $10 million. Finally the lower share count associated with last year's ASR was $0.8 per share. Maintaining liquidity and a solid balance sheet is important to all businesses. I feel good about where we are. We finished the quarter with more than $100 million in cash. We continued to generate healthy free cash flows. We have a commitment in place to roll over our YEN private placement later this month. We have ample drawdown capacity on our multiyear revolver. In closing, our management team is focused on profit improvement. We have improved liquidity by reducing exposure to interest rate and currency fluctuations and we are working further to reduce our working capital requirements. Our foundation is solid, however we are working on alternative scenarios in case they are needed.
Rob Amen: Thanks Rich. Let me try to address the future. Looking ahead today is more challenging than usual. However, we remain positive. Over the past couple of days, as I have read the announcement from many of our customers, I am encouraged that they are positive about the volume growth. Our expectation is that growth will, however, slow and it will be uneven as we look around the world. Europe and the United States will likely be in a recession for a few quarters. Latin America will most likely slow from the recent rapid growth they have enjoyed but we believe will stay positive. Asia, too, will likely slow. We are planning for GDP growth in greater Asia of 6% to 8% down from the double-digit growth of the past few years. Input costs have been a burden this past year. We still have not recovered all the increased costs we have absorbed. I am optimistic that the upward spiral of costs will abate, as we go through this global economic weakening. As of today, our order intake for Q4, 2008, indicates sales will be at or slightly higher than Q4, 2007, as measured in local currency. This could improve or decline as the quarter progresses. We are encouraged, given what we see today. I believe the results for the quarter were good. Our Flavor business continues to be a stellar performance with good sales growth everywhere, but flat in the United States. Our Fragrance business is improving, and has more to do to restore margins into bill sales. Our focus is on improving profitability. More needs to be done to recover the increased cost of materials and input costs. Our efforts to drive out costs from our organization will continue. We will balance our drive for improved results with investing in people and assets, to meet the needs of our future growth. I am comfortable with our sound liquidity position and modest leverage. I believe IFF strategy to help consumer products company build brands, is the right strategy, and will enable IFF to flourish and grow. Now Sarah, Rich now and I will be happy to respond to take questions.
Operator:
(:
):
Silka Koopf - JPMorgan: Good morning. This is Silka Koopf for Jeff. How are you?
Bob Amen: Good morning. Silka how are you today?
Silka Koopf - JPMorgan: I am okay. I think I guess I’ll ask my one question and get back into queue. Can you give you little bit of like an outlook as to what do you expect, will you expect gross to slow going forward. That is if I remember you said in the fourth quarter, the Fragrance business generally already had more difficult condition, I think that the Fine Fragrance business was down 7% in local currencies, Ingredients was down 1%, I think Functional was down 1% and the Flavor business was still stronger like 10% local currency growth. So is this slowing in the fourth quarter related mostly to the Flavor business or other businesses continue to slow from these levels?
Bob Amen: You lost me at the end. I didn't…
Silka Koopf - JPMorgan: So I guess is it the Flavor business that is slowing or other businesses -- has the Fragrance business, does it continue to slow even though the comparisons don't seem all that stringent?
Bob Amen: Well, at this stage as I said it is early in the quarter and it's really hard to project ahead. But I am not seeing a slowing. I told you that I thought our sales would be at or slightly above the year-ago quarter. Our Flavors business has been quite strong. They've consistently grown; I think Rich mentioned it is either 12 or 13 quarters in a row of local currency sales growth. We’ve seen the trajectory in the third quarter come down a little bit and there were some unusual circumstances. We did see a slowdown in Asia, we think in part due to the industrial restrictions in China during the Olympics. And it is very hard to see. We’ve seen our customers' results coming out. Most of them are talking about modest, I will call it 1% to -- generally in the 1% to 2% volume growth range. The Fragrance business has been flatter. We’ve gone through that. So I am not sure I’ll come to the conclusion you have, we're not either projecting a decline nor are we suggesting that the Flavors business is going to go into a decline.
Silka Koopf - JPMorgan: So maybe I can just to – I have just to clarify. So it seems like the rate of growth, though, are slowing and so what I was trying to figure out is whether the rate of growth that that is slowing, this pertains to the Flavor business or the rate of growth could also slow on a year-over-year basis in the Fragrance business?
Bob Amen: Well, it’s very hard for me to imagine that the rate of growth of our enterprises as we go into an economic downturn are going to accelerate. I think its going to be uneven. I don't have the data and I’m not willing to share that forecast. There was clearly a slowing in our third quarter relative to the prior six months for the enterprise. I don't have anything more to say other than we will -- we believe we're going to be either neutral or slightly higher, pardon me, I have a -- I don't know what I have but its getting my throat anyway. And there is a lot of this quarter left, so I don't really want to give you a hard forecast because I think that will its -- I just don't have the data to back up that forecast.
Silka Koopf - JPMorgan: Okay that's fair enough. I will get back into queue. Thank you.
Bob Amen: Thank you, Silka.
Operator: Thank you. We’ll take our next question from Mike Sison with Key Banc.
Michael Sison - Key Banc Capital Markets: Hey, good morning.
Bob Amen: Good morning. Yvette Rudich - Director of Corporate Communications Hi, Mike.
Michael Sison - Key Banc Capital Markets: And, when you think about the markets heading into a recession maybe give us a little bit of a picture what happened historically. Do the Flavors and the Fragrance industry typically stay positive, is it typically flattish, is it typically down a little bit?
Bob Amen: Well, my understanding, as you know, I don't have a long history here, but my understanding is that volumes have been relatively stable. Not uniformly, not consistently, but relatively stable. But I think this downturn is going to be different. I think that's -- we don't understand the severity of the downturn nor are we dealing with the same global economy. I mean, certainly I think people are expecting a fairly sharp contraction in the United States. Some contraction in Europe. We haven't dealt with China in prior periods. The growth we've enjoyed in Greater Asia, for example, in the Flavors business, even this year has been 10% and 20% higher. So is that going to decline to 5% or 10%? We will see. I mean, we know we have hundreds of millions of new consumers in China who are probably not going to turn the clock back. So I think we have a different scenario where the developed world may be a little bit more typical, with volumes being flat to slightly positive than most consumer staples, and the emerging world, I believe, staying positive in its growth. So I think those two things are -- I mean, I at this stage, I don't see that our strategy of balancing focus on the emerging world and growth there with continued market share gains in the developed world as needing to be adjusted.
Michael Sison - Key Banc Capital Markets: Okay. Then as a quick follow-up, when you look at the 2009 and you think about all the new project wins that you have sort of accumulated this year, how much growth does that support based on just the winds that will commercialize into '09 versus '08 next year?
Bob Amen: I can't give you a number on that, largely because that is one factor. I mean, right now we enjoyed growth in part because of the new wins, and the new wins more than offset the erosion we saw in old business. I can't forecast what that erosion is going to be for you, Mike. So I can't give you a net growth number. I feel very good about the wins we're carrying forward. The Flavors business continues to do well. Its current products are performing. It is picking up good wins. Our Fragrance business, quite honestly, we wouldn't have done as well in Fine fragrance this quarter except that they had such good win rate last year and that's continued into this current year. So, I think they have got some good momentum in Fine Fragrance. We have more work to do on Functional. So it really will depend upon what we see with our customers’ erosion of existing products.
Michael Sison - Key Banc Capital Markets: What is the gross number?
Bob Amen: Didn't give you one.
Michael Sison - Key Banc Capital Markets: Yeah, I know. Okay. I’ll get back in queue, thanks.
Bob Amen: I mean, that reminds me, routinely. We’ve had long-term goals in place since the fall of 2006. Of sales growth of greater than 4% measured in local currency, operating margins, and expansion and earnings per share growth of 11%. And those are strategic goals. Those are not earnings guidance. Those are the goals with which we use to prioritize initiatives in the company and to which we hold ourselves accountable. They are built into our strategic planning and our compensation systems. It is hard for me. I don't think it would be credible for me to say I feel as confident about doing -- having 2009 be consistent with those today as I might have been a year ago. I am not prepared to say were abandoning those goals. I think it simply a harder period of time to look forward into. But I believe and my colleagues and I are working hard to continue to improve both the sales growth, because we have lots of opportunities with innovation, which is what our customers want, and product growth, with margin recovery. Rich outlined we're starting to see some improvement on recovery with our customers but we have a lot more work to do. We've absorbed a lot, we have to work with them to restore that not just by simply raising prices, which won't help them but we have a series of other options. We're not abandoning our long-term goals and I'm not going to revise them here but I have to say that it's probably going to be more of a challenge to achieve those goals in 2009.
Michael Sison - Key Banc Capital Markets: Okay. Thank you.
Bob Amen: Thanks Mike Sison. Sarah?
Operator: Thank you. We'll take our next question from Lauren Lieberman with Barclays.
Ryan Bennett - Barclays Capital: Hi good morning. This is actually [Ryan Bennett] sitting in for Lauren today.
Bob Amen: Good morning Ryan. How are you? Yvette Rudich - Director of Corporate Communications Hi Ryan
Ryan Bennett - Barclays Capital: Hi. I had a couple -- actually I wanted to follow-up on that last question. We talked about your win rates, how -- has there been any change in terms of conversion to product launches? Are your customers beginning to pull back your new product activity just given the consumer environment?
Bob Amen: That's a good question. A couple of things going on as of right now, we're not seeing a diminution in the request from our customers to work on new initiatives. The activity and the value of briefs that we're working on both in Flavors and in Fragrances is higher today than it was at a comparable period a year ago. Now, there is some change in that. There is more focus on, instead of just new products it's hey, help us to take the cost out or help us sort a different price point. But the number of initiatives is, as I said higher than a year ago.
Ryan Bennett - Barclays Capital: Yes, just a quick follow-up on that, I guess my question more was just in terms of not the new initiatives that you're working on but in terms of are they actually launching?
Bob Amen: No, that's the second part of it.
Ryan Bennett - Barclays Capital: Okay.
Bob Amen: We have not seen any change from a typical pattern. At any given time, some projects even when they are completed they don't launch and I'm just I’m going to look to my colleague across the table. I am not aware. I’m not aware, Nicola, I’m not aware of any meaningful change in pattern of the halting projects once you’re completed.
Rich O'Leary: In other words, you can’t see right now.
Bob Amen: Yeah. Nothing, we don't have any visibility in that line right now.
Ryan Bennett - Barclays Capital: Right. Just then on profitability, can you give us, first off, can you give us a sense of in terms of the local currency sales growth this quarter. How much of it came from volume growth versus. pricing?
Rich O’Leary: Well, if you look at -- if you look at the slide, we had volume, when you offset you have positive growth in the Flavors business, and there is a mix impact somewhat. The volume accounted for $2 million of the increase in sales. And price was about $13 million.
Ryan Bennett - Barclays Capital: Got it. So then I guess my question is. And just looking at profitability holistically, one of the things you cited as where is the driver of the profitability challenges this quarter is the raw material cost headwinds. But its hard to believe that the volume challenge has to be resulting in some sort of negative operating leverage, and I just wondered if you could comment on whether less fixed cost absorption is a factor in just the margin performance and what the outlook is for the next couple of quarters?
Rich O’Leary: Yes Ryan. I mean it does have an impact and that's embedded in the mixed component, which was unfavorable $4 million for the quarter. And that's why we're doing some of the things we mentioned in terms of looking at our cost structures and we’ll continue to look for productivity gains and efficiency gains.
Bob Amen: Yeah, I would say this is a different we don't have big continuous process facilities with the exception of our chemical plants and they continue to run full. Most of our -- that are converting or compounding facilities are more flexible. Yes, if volume is down you get a little absorption but it is not a key driver of corporate growth. Clearly, we have to be looking at the alignment of our facilities longer term. And so, I would say its not a short-term P&L issue as much as a longer term issue of what's the array of facilities we need to meet the challenges in the future.
Ryan Bennett - Barclays Capital: Okay. And then, just my last question. In terms of pricing, how much of the pricing in the quarter was coming from Ingredients versus non-Ingredients?
Bob Amen: We don’t break that out.
Ryan Bennett - Barclays Capital: Okay. And just directionally?
Bob Amen: Well, again it flows through because some of the ingredients flows through our compounding. And the two can't get out of sync because it’s a little bit like some place I have a little bit more familiarity .You can't get a line up or increase if you don't get a box increase. Well, you can't get a compounding increase. If you don't get the compound increase you're not going to be able to hold the Ingredients increase. So its -- I wouldn't split those two up.
Ryan Bennett - Barclays Capital: But it seems as though you are getting price increases through to your customers, on the Functional and Fine Fragrance side?
Bob Amen: Yes, we are.
Rich O’Leary: Yes.
Ryan Bennett - Barclays Capital: Okay. And then can you just give us a sense of how much you're looking to recoup. It is 100% of the cost of inflation?
Bob Amen: No. I don't think it's realistic to expect that our customers are going to give us 100% cost inflation. I think they expect us to do things to help offset a portion of that. So we're not looking to them to be 100% there. There can be changes, there can be cost reductions, but I don't think it's realistic for our customers -- for us to expect our customers to give us 100 % recovery. I think it is a meaningful amount. I mean, percentage doesn't matter its going to vary. On this issue we don't deal with one quarter in isolation. I mean the time we have as we were slow to recover costs starting really in the fourth quarter of last year. And we've been lagging. So we have to build up, if you will accumulate margin loss that we need to restore. So there can be in fact at some point in the future periods of time when we're getting price increase there may be some cost debate. But it's got even out over time and work for the two of us.
Ryan Bennett - Barclays Capital: Got it, thanks so much.
Bob Amen: Thank you. Sarah?.
Operator:
(:
):
John Roberts - Buckingham Research Group: Thanks, this is John Roberts sitting in for Joan Roberts.
Bob Amen: Hello, John Roberts.
Rich O’Leary: Hi to John of course.
John Roberts - Buckingham Research Group: You had a $0.03 currency benefit in the current quarter. If rates hold at current levels, that flips obviously to a little bit of a headwind here in the next quarter. At current rates do you have any estimate, is it $0.02 or what kind of headwind are you facing from currency here in the short-term?
Rich O’Leary: As I said in the discussion, we look at it and this impacts on timing as it has costs and impacts flow through inventories. It is not a direct correlation but on a normal basis, a 1% change is about $0.01 per share per year.
John Roberts - Buckingham Research Group: I know when but the math doesn't work out that way always instantaneously in a quarter. I was just saying if things just stayed, if you’d frozen where they were today and things didn't change. Do you have and estimate or a forecast?
Bob Amen: John, we can't forecast that. I mean the…
John Roberts - Buckingham Research Group: I wasn’t asking for forecast -- I was just asking.
Bob Amen: The Euro is backed up to I think about $1.26 today?
John Roberts - Buckingham Research Group: That's right.
Rich O’Leary: I don't know $1.28.
Bob Amen: $1.28. So, I mean it's so volatile it is very hard for us to forecast.
John Roberts - Buckingham Research Group: Right.
Bob Amen: I hate to put a number out there based on it, because people will forget the moment or the FX rate while we are making the earnings to their calculations. So I'm sorry we can't do that.
Rich O’Leary: I mean it's going to be headwind as you said but we don't have, I don’t have something that I am willing to say this amount.
John Roberts - Buckingham Research Group: Okay. You did provide some guidance towards flattish local currency sales growth in the fourth quarter. With the currency head wind - whatever it is, would it make flat earnings a challenge for you in the fourth quarter or do you think you have enough cost savings and internal action going on, that with flat local currency sales and the currency headwind you can somehow offset that?
Bob Amen: We don't give -- we haven't, we aren't and we're not going to give you guidance on quarterly earnings or annual earnings.
John Roberts - Buckingham Research Group: Okay. It was a good try, though.
Bob Amen: It was an imaginative way tog et there,
John Roberts - Buckingham Research Group: I am unfamiliar with your yen debt rollover issue but given the rapid recent strengthening in the yen, is there a translated dollar cost here in the fourth quarter that we need to be aware of? The yen has had a huge surge recently.
Rich O’Leary: It's a rollover of an existing loan. There is not going to be a significant change and impact on our results.
Bob Amen: And it really was entered into some number years ago as a natural hedge against our yen, our Japanese business. So it's really an economic hedge, as much as…
John Roberts - Buckingham Research Group: Okay, it doesn't present some unique translation challenge here in the fourth quarter?
Bob Amen: Not that I am aware of.
John Roberts - Buckingham Research Group: Okay. Thank you.
Operator: Thank you. We'll take a follow-up from Jeff Zekauskas' line with JPMorgan.
Silka Koopf - JPMorgan: Yes, I have a follow-up question on incentive comp. So normally it seems in the fourth quarter SG&A costs move up because of incentive comp, how should it look this year in the fourth quarter? Should we expect another stepdown or should it be more of like a normal quarter?
Rich O’Leary: Well, I am not sure I followed your logic that says it is going to go up in the fourth quarter because of incentive comp. I think with a lower -- both the level of sales as a percentage of sales, selling and admin expenses are going to go up from the prior quarter. We -- given the third quarter where we had very little expense, those costs will go up somewhat but it depends upon our results.
Bob Amen: Yeah, I mean, this is we have a pay per performance incentive plan. And if the company, if performance would have to improve meaningfully to have compensation expense in the fourth quarter go up meaningfully. I mean, we took a look at it. Rich, we tried to provide as much detail, we have roughly $18 million of….
Rich O’Leary: Over $18 million.
Bob Amen: …of accrued, we might top that up a little bit but there is not going to be a significant increase in incentive comp, that I would expect.
Silka Koopf - JPMorgan: Okay. And, like a follow-up question regarding the shared services charge of $2 million in the quarter. Which I think is different from like the employee separation costs, of $3 million - $3.5 million that would take in the second quarter. Is this are we -- should we see similar expenses going forward or is this it?
Rich O’Leary: It’s not a charge what it was, we are in the process of transitioning our services to the outside provider and during this period we have duplicate costs. We’ve got our existing people still on hand transferring responsibility. Plus we're paying for their ramp up costs. So I do expect it to be down from the $2 million that we had in the third quarter, because we’ve gotten most of that done through the end of October. So it will go down.
Silka Koopf - JPMorgan: Okay, and if I could, a last question on currency again. And maybe I’m not factoring in like the Asian currencies correctly but if I just look at like the Euro year-over-year, I mean the Euro on an average basis was still up, maybe like I don't know, 9% in the quarter. And so like the currency benefit of like $0.03, seems too small or this 1%, $0.01. It may not be like the accurate impacts from currency translation. So can you reconcile this for me?
Rich O’Leary: Yeah. When we look, there’s really two components of the $0.03. On one hand there is an -- I’d call it an operating level. There is probably a $0.05 favorable impact. And then we had $0.02 unfavorable working capital, exchange gains and losses. If you look at the $0.05 and in our basis, taking the Euro as proxy it is up an 11%, 12% quarter-over-quarter. If you take that and look at that on an annualized basis, it comes out pretty close to be the $0.01 per share on an annual basis.
Silka Koopf - JPMorgan: Okay. Maybe I will follow-up on that off-line.
Bob Amen: Okay.
Silka Koopf - JPMorgan: Thank you.
Bob Amen: Sarah.
Operator: We'll take a follow-up from Mike Sison's line of Key Banc.
Michael Sison - Key Banc Capital Markets: Hey, Rob, when you talked about I think you mentioned that in Fine Fragrances the -- June and July was performing pretty well then August was sort of -- I'm sorry, September -- I'm sorry, July-August was performing pretty well and then September was pretty weak. Can you give us sort of an order of magnitude of how September looked? Was it down significantly more than what the quarter did?
Bob Amen: Let me just say in early September, I thought we were going to be up year-over-year, in Fine Fragrance, Fine and Beauty Care.
Michael Sison - Key Banc Capital Markets: Okay.
Bob Amen: We wound up being down slightly. So now September is the big driver of the quarter. So you don't extrapolate that as you go forward. But it was -- we saw a change in behavior as there seemed to be an increase in concern about this coming Christmas and people were lightening up. I think it is interesting, the concerns -- everyone getting over last year's inventory issue and concerns for this year, my belief that is that the industry inventory is actually in pretty good shape. And I am hopefully, I mean I have no idea what Christmas is going to be but hopefully we will not face in the fourth quarter and first quarter ahead of us, the inventory correction we faced last year.
Michael Sison - Key Banc Capital Markets: Okay. Then are you seeing, and I guess one question would be, as consumers sort of struggle in 2009, they could move from even higher0end branded Functional Fragrances or eat more at home. Does that affect your business on a mix basis at all? When you look at the, maybe the consumer stepping down in terms of what they buy?
Bob Amen: Good question. You read in a number of companies reports about how consumers are not eating out, they are eating at home and that is helping some people and hurting others. It will cause some shift. It won't make that material an impact on our mix. Clearly as we work with our clients, our clients are adjusting their offer to the consumer needs of today. There is a concern about people trading down, trading out, trading down and out of important well known national brands into store brands and others. If it were to shift out and go into more store brands, that might have an adverse impact on us both well, primarily in volume. If it stays within the family of brands, I think we can do our own because we designed that in so it shouldn't have that much impact-- that a much of an impact.
Michael Sison - Key Banc Capital Markets: Okay. Then Rich when you take a look at the short fall between pricing and raw materials - -can you clarify how far behind you are on year-to-date?
Rich O’Leary: For the quarter about between 5 and $6 million, I estimate for the nine months between $20 million to $25 million.
Michael Sison - Key Banc Capital Markets: Yeah. And if raw materials fall heading into 2009, there seems to be a trend where a lot of commodities are coming down petrol and the metal based on and so forth, would you be able to hold on some pricing?
Bob Amen: Its always the commercial dynamic. We have to get out there and work with our customers because -- we're certainly going to be looking for some incremental price relief. And we've got to -- that's what where we're focused on. But I’ll come back and we're getting our pretty margins back on a structural basis towards that 18 plus percent is what we have got to do. We think that's what we need to do to be able to continue to invest in the technologies and science that they want us to have to create the products as well as meet the needs of our share owners and others. So, we have to work with them to meet their needs and do it in such a way and at such a cost that we're able to achieve our financial goals.
Michael Sison - Key Banc Capital Markets: Right. Then in terms of your free cash flow, you got some cash in the balance sheet, you sort of see where your stock is, sort of, can you buy more stock? Or are you looking to pay down debt? What sort of the priority for your cash at this point?
Bob Amen: You know what, sheer prudence says, I’d would rather have the money in my Jeans.
Michael Sison - Key Banc Capital Markets: Right
Bob Amen: I think you know that our stock is certainly undervalued as many companies in today's market. But I’m not sure how deep or how long this economic correction is going to be. And so I have to turn to Rich and our obligation is that we do the right thing long-term. I don't want to interrupt the key initiatives here. So as we generate cash we continue to generate a healthy amount of positive cash flow. We’ll let that accumulate on the balance sheet.
Michael Sison - Key Banc Capital Markets: Okay.
Bob Amen: It will make us feel sleep better.
Michael Sison - Key Banc Capital Markets: Okay, got it. Thank you.
Bob Amen: All right. Sarah, any more.
Operator: Yes, sir, we’ll take our next question from Frank Bisk with Pilot.
Frank Bisk - Pilot Advisors LP: Hi, my question has been asked and answered, thank you.
Bob Amen: Thank you.
Operator: Thank you. We’ll go next to John Roberts with Buckingham Research Group.
John Roberts - Buckingham Research Group: Thanks. There were a couple of notable kind of recoveries in the business I think. The North American functional Fragrance sales you listed 7% positive from down. I think it was down 18%, 19% the last couple of quarters here. Did you win back business you lost or was that new business that replaced business you lost or how did you achieve that flip?
Bob Amen: I would love to be able to tell you we won back the business we lost. That's not the case. We won some new business in different areas. If you recall in the past, I’ve told you we were struggling in the area, and that hasn't changed because when you lose that business you lose it for a few years. But we are picking up some good business in many other areas and so that's why I’m encouraged in Functional and I think the team in the U.S on Functional is responding very well. A lot of good initiatives and I have a lot of confidence in them.
John Roberts - Buckingham Research Group: Secondly the recovery in the Fine Fragrance and Beauty Care area seems to be in Europe. You went from I think down 9% last quarter in local currency sales in Europe Fine Fragrance and you were up a percent actually in Europe this quarter. Was that just specific wins or specific customers or was that the economy there versus the economy here or…?
Bob Amen: No, I mentioned to you that really reflects the increased wins we had starting mid-year last year. It's a long time for these wins to come to market. So we had a very good win rate starting in the spring of last year, summer of last year. Those things are coming to market. The win rate continues to be encouraging. So the upside we're seeing comes from the new launches.
John Roberts - Buckingham Research Group: Thank you.
Operator: And we have one question in the queue that comes from Richard O'Reilly with Standard & Poor's.
Richard O'Reilly - Standard & Poor's: Oh, thank you. Good morning, everyone. I just want to follow-up on the input costs. Bob, on one of your last slides you have a line that says lower input inflation expected in '09. Are you still -- are you looking for your cost to rise in '09, or do you think that you could actually see a decline overall?
Bob Amen: I would hope we will see a decline. But at this juncture, I -- there is no evidence in the market. And you don't know, it's going to depend upon current seasonality, it’ll depend upon crop yields. So I do believe the rate of inflation will abate. Will it turn negative? I wish I had that foresight. I don't have it. So I am being a little conservative and assuming that we will continue to have some modest inflation and input costs, if there is. – If costs decline, that's -- that will be a positive.
Richard O'Reilly - Standard & Poor's: Okay. I think my -- Rich, I think my notes would say that you also saw a 5% rate in the second quarter, and I don't know what it was earlier in the year. So you've been running at about 5% for the year?
Bob Amen: Yeah, we were a less than five in the first quarter about five in the second quarter and now a touch above five in the third quarter.
Richard O'Reilly - Standard & Poor's: Okay, for me. okay, great. Okay. Thank you.
Bob Amen: Thank you.
Operator: At this time we have no further questions in the queue. Mr. Amen I will turn things over to you for closing or additional remarks.
Bob Amen: Thank you very much. I really do appreciate your continued interest. I think we all need to stay focused on the fundamentals. I think that the economic challenges are real. But at the same time, IFF has is part of an industry that meets consumers fundamental needs. And so I don't expect the sort of commodity cycle that we see in some areas, either going up or coming down. I believe this company is focused on building its business, with the key people, the key assets, the key markets. And I appreciate your interest and continued support of IFF and we hope that we will continue to meet your expectations and do well so. Thank you very much and I look forward to speaking with you.
Operator: That does conclude today's conference. Thank you for attending.